Operator: Good morning. My name is Greg, and I will be your conference operator today. At this time, I would like to welcome everyone to Tennant Company's First Quarter 2025 Earnings Conference Call. This call is being recorded. [Operator Instructions] Thank you for participating in Tennant Company's first quarter 2025 earnings conference call. Beginning today's meeting is Mr. Lorenzo Bassi, Vice President, Finance and Investor Relations for Tennant Company. Mr. Bassi, you may begin.
Lorenzo Bassi: Good morning, everyone, and welcome to Tennant Company's first quarter 2025 earnings conference call. I'm Lorenzo Bassi, Vice President, Finance and Investor Relations. Joining me on the call today are Dave Huml, President and CEO; and Fay West, Senior Vice President and CFO. Today, we will review our first quarter performance for 2025. Dave will discuss our results and enterprise strategy, and Fay will cover our financials. After our prepared remarks, we will open the call to questions. Our earnings press release and slide presentation that accompany this conference call are available on our Investor Relations website. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company's expectations of future performance. Such statements are subject to risks and uncertainties, and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today's news release and the documents we filed with the Securities and Exchange Commission. We encourage you to review those documents, particularly our safe harbor statement, for a description of the risks and uncertainties that may affect our results. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude certain items. Our 2025 first quarter earnings release and presentation include the comparable GAAP measures and a reconciliation of these non-GAAP measures to our GAAP results. I'll now turn the call over to Dave.
David Huml: Thank you, Lorenzo, and hello, everyone. On today's call, I will be discussing highlights from the first quarter 2025, the progress on our enterprise strategy and our outlook for the remainder of the year. Our first quarter results reflect a return to typical seasonal patterns and product mix, lapping a previous record high first quarter in the prior year, which benefited from a $50 million backlog reduction concentrated in higher-margin industrial products that are sold through direct channels. We delivered net sales of $290 million, representing an organic decline of 5% and adjusted EBITDA of $41 million, or 14.1% of sales. Despite the challenging comparison, underlying business performance remains strong. At the enterprise level, order rates increased 13%, well above our long-term target. This quarter marks the fourth consecutive quarter of near or above double-digit order growth. Our book-to-bill rate in the quarter was above 1, and we maintained normal backlog levels. While tariffs and economic uncertainty are top of mind for our customers, demand for our products remains stable, and we continue to see strong momentum in our incoming order rates. As a reminder, we are forecasting to grow our orders in the range of 3.5% to 7% for 2025. However, it is important to highlight that strong order growth will not directly translate into equivalent organic sales growth. This is primarily due to the $125 million backlog reduction that took place last year, which disproportionately impacted the first half of the year, most notably with a $50 million headwind in the first quarter alone. As a result, this makes quarter-over-quarter optics challenging. Looking at the regional highlights for the year. In the Americas, organic net sales declined 6.9%, reflecting the impact of the prior year backlog benefit. When looking at the underlying business performance, order rates were up 20% compared to the prior year period. Our enterprise strategy initiatives, specifically products like the X4 ROVR helped drive incremental growth in the region. Overcoming currency-related headwinds in Brazil, our strategic investments in the Americas continue to deliver order rates that are outpacing market growth, reinforcing our confidence that our strong leadership position is growing. In EMEA, we grew 2% on a constant currency basis. EMEA results were positively impacted by our previously announced acquisition in Eastern Europe, which drove 140 basis points of growth in the region. Organic growth across the rest of the region contributed 60 basis points of growth, driven primarily by price realization. While we had organic growth across all product categories, we saw mixed results by country. Go-to-market initiatives in the U.K., Spain and Italy continue to read out positively, which was partially offset by sluggish demand in France and Germany. Turning now to APAC. Business performance in APAC was impacted by continuing market challenges and demand decline in China. Australia is also showing some signals of slower demand, and we expect a challenging market dynamic in APAC for the remainder of the year. Our commitment to disciplined execution of our enterprise strategy yielded positive results in the quarter. The strategy is centered on growing through pricing discipline, launching innovative new products and investing in go-to-market opportunities. We continue to resource, invest and execute targeted initiatives across each of these pillars. I'd like to take the opportunity to provide you with several key updates. During the first quarter, we saw favorable pricing growth within EMEA and Latin America. In North America, while our published pricing increases are taking hold, we drove large sales to key strategic customers within the retail channel in the period. And as such, pricing was impacted during the period. We anticipate a shift toward a more favorable mix going forward with stronger price growth during the remainder of 2025. We are on pace to capture approximately 50 to 100 basis points of annual price growth as part of our long-term goals. We continue to invest in targeted areas to improve our channel reach and capacity. During the first quarter, we saw positive results from the go-to-market initiatives we activated in 2024. For example, in North America, our increased service capacity drove service revenue growth during the quarter. Additionally, go-to-market initiatives in EMEA, specifically investments in direct selling in the U.K. and expanding distribution coverage in Italy continue to deliver growth in the region. At an enterprise level, we target approximately 100 basis points of annual growth from go-to-market investments as part of our long-term goals, and we are on pace to achieve that in 2025. New product development is another important focus area in our growth pillar as we drive innovation in AMR, small space and product line extensions. Our first quarter results were bolstered by sales of the X4 ROVR and the expansions of our product line extension portfolio last year. At an enterprise level, we are on pace to achieve our long-term target of adding 150 to 200 basis points of growth per year. Looking specifically at our AMR performance. During the quarter, AMR sales grew 30% over the first quarter of 2024. We continue to be proud of our progress and believe there is significant upside to capture by driving robotics adoption globally. Our growing AMR portfolio accounted for approximately 5% of net sales at the enterprise level during the first quarter of 2025. As we begin to realize the full year benefit of X4 ROVR in 2025, our current momentum puts us in line with achieving our AMR revenue target of $100 million in annual net sales by 2027. We're also excited about the growth opportunity surrounding the X6 ROVR launch in the second quarter of 2025. Building on the early success of the X4 ROVR and our accelerated product road map, the larger X6 ROVR offers superior cleaning performance, improved maneuverability and nearly 3x the cleaning capacity of the X4 ROVR. We believe that reducing adoption barriers is key to accelerating AMR growth. Today, one of the challenges our customers face is the initial cost of AMR machines. To help tackle this, we are proudly introducing the Clean 360 program, a new approach that pairs our industry-leading AMR technology with our well-known service expertise. Clean 360 offers customers access to our AMR solutions through an autonomous subscription model that includes the AMR machine, navigation software subscription and a full-service maintenance contract with a 90% uptime guarantee, all bundled into a single monthly price. This flexible program is designed to make AMR adoption more accessible, lowering upfront investment with more predictable cost of ownership, guaranteeing uptime productivity and delivering a predictable customer ROI. By providing customers another option, we expect Clean 360 will help drive wider adoption, expand our customer base, increase our market share in the rapidly growing AMR space. Now shifting to guidance for the remainder of the year. I wanted to share some thoughts on the recent developments surrounding global tariffs and the ongoing trade war, which have certainly contributed to economic uncertainty as we move through 2025. Despite these macroeconomic challenges, I'm pleased to report that our first quarter results have remained strong. And to date, other than the few countries previously mentioned, we haven't observed any significant signs of weakening demand across our operations. However, it's important to acknowledge that the economic uncertainty is likely to persist with tariffs and the trade war continuing to play a crucial role. In light of this, we've established a cross-functional global team that is diligently assessing the impact of existing tariffs and implementing various mitigation strategies. While tariffs are likely to change going forward, we put a structure in place that is agile. Our focus for the tariffs currently in place is on offsetting costs through supply chain actions, pricing initiatives and other measures. By leveraging the capabilities we've built during the previous supply chain crisis and aligning with our long-term manufacturing and sourcing strategies, we are capable of navigating these challenges effectively. When we model out these mitigating strategies alongside the strong order demand forecasted, we believe we are positioned to deliver full year results within our 2025 guidance range. However, should the situation deviate from current assumptions, our results could be adversely impacted. We remain committed to executing on our enterprise strategy while we navigate the economic uncertainty and the impact of tariffs on our business. The investments we have made are reading out in the current year, illustrated by our strong double-digit order growth. We believe we will see continued order growth from these initiatives and will continue to help drive our long-term revenue targets. With that, I'll turn the call over to Fay for a discussion of our financials.
Fay West: Thank you, Dave, and good morning, everyone. In the first quarter of 2025, Tennant delivered GAAP net income of $13.1 million compared to $28.4 million in the prior year period. Net income for the quarter was impacted by lower net sales, primarily driven by volume declines across all geographies, particularly in North America, which was lapping a prior year with a significant backlog reduction benefit. This backlog was concentrated in higher-margin industrial equipment through direct sales channels, which impacted gross margin performance. Also impacting net income performance were increased costs associated with our ERP project and restructuring-related charges. These non-GAAP charges totaled $7.5 million during the quarter. Beyond operating income, our effective tax rate was 23.8% in the first quarter of 2025 compared to 19.1% in the prior year. The rate increase was driven by a prior year discrete tax benefit associated with stock option exercises that did not reoccur in the first quarter of 2025. Income tax expense was $2.6 million lower compared to the first quarter of 2024, primarily due to lower net income performance. Adjusting net income for the non-GAAP ERP costs and restructuring-related charges, adjusted EPS for the first quarter of 2025 was $1.12 per diluted share compared to $1.81 per diluted share in the prior year period. Looking a little more closely at our quarterly results. For the first quarter of 2025, consolidated net sales totaled $290 million, reflecting a 6.8% decrease from the $311 million reported in the first quarter of 2024. Changes in foreign currency exchange rates had a negative impact of 2.1%, primarily affecting our operations in Brazil and to a lesser extent, in EMEA. Our prior year acquisition contributed 0.3% of growth during the quarter. On a constant currency basis, organic sales decreased 5%, primarily attributable to volume decreases. Comparisons between periods were impacted by the significant backlog reduction benefit that we experienced in the prior year, which on a comparative basis, drove a decrease in volume. However, on a consolidated basis, our underlying order activity has shown impressive growth with a double-digit increase in the current period. This is a clear indication of the strong demand we are seeing and our ability to capture new opportunities in the market. As a reminder, we group our net sales into the following categories: equipment, parts and consumables and service and other. In the first quarter, we experienced declines in all product categories. Organic declines in equipment sales and parts and consumables sales were further exacerbated by an unfavorable foreign exchange impact. Overall, equipment sales declined 9% and parts and consumables declined 4.7%. Although, we observed organic growth in service and other, this was more than offset by the unfavorable foreign exchange impact, resulting in an overall decrease of 1.4% for the period. Shifting to regional performance. Organic sales in the Americas decreased 6.9% compared to the same period last year. The decline in net sales this period was primarily driven by lower sales of industrial equipment as we lap a significant contribution from the backlog in the first quarter of 2024. This was partially offset by volume growth in commercial equipment and service. The growth in commercial equipment was driven by large sales to key strategic customers within the retail channel. Outside the Americas, organic sales grew 0.6% in EMEA due to pricing increases across all product categories, partially offset by small volume declines in Industrial Equipment. Organic sales decreased 7.5% in APAC, primarily due to both volume and price declines in China and Australia. Gross margin was 41.4% in the first quarter, a 280 basis point decrease compared to the prior year quarter. This decrease was primarily driven by shifts in our product and customer mix as well as ongoing inflation. From a product perspective, last year's gross margin performance benefited from a larger concentration of higher-margin industrial products sold through direct channels. Customer mix in the current period was more heavily skewed towards strategic customers, which contributed to lower margin performance. These top-tier strategic customers have more favorable pricing terms due to the volume that they generate, and as such, pricing in the region was impacted during the period. S&A expense totaled $90.7 million in the first quarter of 2025, a $0.8 million increase compared to the first quarter of 2024. The increase was primarily driven by ERP costs and restructuring-related charges and was partially offset by lower compensation expense and discretionary spending. When excluding non-GAAP costs, adjusted S&A expense in the quarter totaled $83.2 million, a $2.7 million decrease compared to the first quarter of 2024. Adjusted S&A expense as a percent of net sales increased to 28.7% compared to 27.6% in the prior year period. This 110 basis point deleverage was primarily driven by lower sales performance, partially offset by strong cost management. Adjusted EBITDA for the first quarter of 2025 was $41 million compared to $54.9 million in the first quarter of 2024. Adjusted EBITDA margin for the first quarter of 2025 was 14.1% of net sales, down 360 basis points compared to the 17.7% in the prior year period. Turning now to capital deployment. Net cash used by operating activities was $0.4 million during the first quarter of 2025, a $3.3 million decrease compared to the prior year period, primarily driven by ERP costs and working capital investments. Free cash flow for the period was negative $7.4 million, which included investments in the ERP of $12.4 million. When excluding these nonoperational cash flows, we converted 28% of net income to free cash flow during the quarter. The first quarter tends to be the lightest free cash flow period, and we expect to meet our 2025 target of converting 100% of net income to free cash flow. The company continues to deploy cash flow towards operational capital needs and to return capital to shareholders in line with its capital allocation priorities. During the first quarter, the company invested $7 million in capital expenditures and returned $25.8 million to shareholders through share repurchases and dividends. Tennant's liquidity remains strong with a cash and cash equivalents balance of approximately $80 million at the end of the first quarter and approximately $434 million of unused borrowing capacity on the company's revolving credit facility. The company continues to effectively manage debt and maintains a strong balance sheet. Our net leverage was 0.66x adjusted EBITDA, providing the company with increased flexibility and capability to fund growth through M&A and create value for our shareholders. Moving to 2025 guidance. As Dave mentioned, recent discussions surrounding global tariffs have intensified and the escalating trade war has created economic uncertainty moving forward. This economic uncertainty has led to a higher risk profile today compared to our fourth quarter earnings call. Based on the current tariffs in place, we estimate an impact of approximately $40 million for the full year 2025, representing around 5% of our total cost of goods sold. To offset these estimated costs, we've implemented a range of mitigation strategies, including supply chain actions, market-based pricing and other operational levers. On the supply chain front, our strategies include supplier negotiations, dual sourcing leverage and shipping logistic flows to avoid expensive pass-through costs. In parallel, we are managing costs at the operating margin level to preserve profitability and remain focused on disciplined prudent spending as we navigate the tariff impact and macroeconomic uncertainty. Our mitigation actions continue to evolve. And based on what we know today, we anticipate we will be able to offset most of these tariff costs. With these efforts in place, we continue to believe we are on track to deliver full year results within our 2025 guidance range. For 2025, Tennant reaffirms the following guidance: net sales of $1.210 billion to $1.250 billion, reflecting organic sales decline of negative 1% to negative 4%. GAAP EPS of $3.80 to $4.30 per diluted share; adjusted EPS of $5.70 to $6.20 per diluted share, which excludes ERP costs and amortization expense; adjusted EBITDA in the range of $196 million to $209 million; adjusted EBITDA margin in the range of 16.2% to 16.7%. Capital expenditures of approximately $20 million and an adjusted effective tax rate of approximately 23% to 27%, which excludes an adjustment for amortization expense. With that, I will turn it back to Dave.
David Huml: Thank you, Fay. In summary, I am very proud of the global team as we continue to grow order rates while navigating macroeconomic uncertainty. We believe that through consistent execution of our enterprise growth strategy, along with disciplined cost management, we are positioned to achieve our 2025 guidance. If you wish to learn more about our company and the direction we are heading, we are participating in two upcoming investor conferences, including the Oppenheimer Annual Industrial Growth Conference on May 5 and the Wells Fargo Industrial and Materials Conference on June 10. With that, we will open the call to questions. Operator, please go ahead.
Operator: Thank you so much. [Operator Instructions] And it looks like our first question today comes from the line of Steve Ferazani from Sidoti. Steve, please go ahead.
Steve Ferazani: Good morning, Dave. Good morning, Fay. I appreciate all the detail on the call. A lot of it was extremely helpful. Dave, I got to ask about the margin guidance. Your EBITDA margins declined sequentially for three straight quarters. I know Fay touched on some of the reasons for the mix this quarter. But to hit that margin guidance in this environment for this year, you need probably more than 200 basis points improvement over the average next three quarters compared to what you've reported in the previous three quarters. And I don't see what's in your order book in fairness. But given the inflationary pressures, and it sounds like you're doing some things to offset it, still, if you can - it just looks like a challenge. Can you walk us through how you get to the confidence level to get there in the next three quarters, right, because your revenue was about 24% of the midpoint of sales. So it's not through throughput like just how do you get there?
David Huml: Thanks for the question, Steve. I appreciate it. And it certainly is a challenging environment to manage. And so let me give you the high-level context for how we arrived at our bottom line EBITDA guidance and then we can dive into - I think much of the story is around our first quarter experience. And so Fay touched on in her remarks, I touched on it as well. When you look at the margin mix from a customer perspective in Q1, there were two components of the margin decline. One was the known challenge to overcome the backlog headwind from the $50 million worth of industrial equipment that we shipped in Q1 of 2024. And this was a question that we've had from analysts throughout the year, this outsized margin impact and benefit in the 2024 baseline, from shipping high-margin industrial products, how do we think about that as we head now into 2025. And so, we planned for that margin hit in our operating plan and then certainly in our full year guidance as well. So the correct course for that is that the $125 million worth of backlog reduction benefit we got in 2024 was populated in the first quarter. It was $50 million in the first quarter. And so the lapping the hurdle, becomes much easier as we move through Q2, Q3 and Q4 of 2025. In addition to that, we expect that the mix will return to more normalized mix, particularly from a customer perspective. And I think we touched on in the script, but in Q1, we were fortunate to ship some large strategic customers as well as some big project wins. And I'm talking about people like Walmart, Morrisons, Home Depot, T.J. Maxx. These are Carrefour. These are the world's top retailers, and we're fortunate to have won business with these customers. We are always shipping key customers. We just had a concentration of key customer shipments in Q1 that adversely affected our margins. So you had this impact of the year-over-year backlog reduction benefit from industrial mix, now to a more normalized mix. In addition to that, we shipped an abnormally high amount of strategic account customers at lower margins. So that kind of explains the first quarter experience. I would note, though, that our first quarter margins were sequentially in line with Q4. And so although they were a bit lower than we had anticipated because of this strategic account mix issue, they're kind of in line with how we exited the year. Your question specifically is how do we get back to guidance range for EBITDA margins on the full year. And that's a combination of both gross margin and how we manage our SMA as we move through the rest of the year. We can't answer the gross margin question without getting into the tariff discussion. So with your permission, maybe I'll give you a bit of a glimpse into how we're thinking about tariffs from a broader perspective.
Steve Ferazani: Absolutely, please do.
David Huml: And I think it will answer - it will answer the question - the question you had, why are we confident that we can deliver on full year EBITDA margin. Is that fair, Steve?
Steve Ferazani: Yes, yes, absolutely.
David Huml: So taking a step back and thinking about the tariffs in general, and I've got to caveat all of my remarks, this is a rapidly changing environment that is introducing significant uncertainty in our outlook and in our projections. And I'll issue one caveat statement, so I don't have to say it over and over with every piece of data I provide you. But this is an abnormally high level of uncertainty for us, for our business, for the macro environment and when we talk to our customers as well. And so while we are feeling very confident about our order rates and delivering 13% quarter-over-quarter order rates in the first quarter, we have to acknowledge the uncertainty that is in our operating environment, as well as the significant uncertainty in the assumptions we have to make in the next three quarters when we talk about our projection for the year. As we think about the tariffs, we're working hard to react to what we know. And so all these comments relate to the tariffs that are in place as of today. So I'm talking about the 145% tariff U.S. has placed on goods imported from China as well as steel, aluminum tariffs, China tariffs on U.S. imports and the rest of the world reciprocal tariffs as well. The big impact for Tennant from a tariff perspective is the U.S. tariffs on China imports. We disclosed in prior quarter that our, spend in China is around $50 million annually. That's made up of $20 million worth of direct imports and about $30 million of what we call derivative purchases, whether it's piece parts or product coming from China through a supplier to us, we expect to see the tariffs impact the price on those commodities. When we model out the tariffs that are in place, again, the tariffs that are in place today, we model out a full year 2025 impact of about $40 million on the COGS line, which directly impacts margins, obviously. There are a lot of unknowns and assumptions. Obviously, if the tariff landscape changes, one of our offsets is pricing. So there's pricing impact demand. There's a lot of assumptions we had to make, but we get to a $40 million impact, and we are taking action to offset and mitigate that $40 million impact. We're taking actions that are aligned with long-term strategy so that we're not wasting any effort. Everything we do is aligned with long-term strategy, and we had planned to do anyway. So we're accelerating those efforts. But our mitigation of the $40 million is really dependent on two main levers. One is pricing actions, the other one is sourcing actions. And roughly speaking, each of them account for about $20 million worth of the salt. From a pricing perspective, we have already published pricing in North America. And just to dimensionalize it for you, we're putting out between 7% and 10% price increases effective mid-May in our North America business. We expect that we will get good realization on that price increase, and that it will not negatively impact demand. So that's our planning assumption as we look forward. From a sourcing perspective, we are in the midst of setting up the action plan to offset the $20 million - $20 million remaining tariff impact. And Fay noted, these involves things like negotiating with suppliers, pushing back on suppliers, resourcing to alternative suppliers. We're calling a tariff reengineering, rerouting goods, so they are not coming from and arriving at the tariff countries to the extent possible, moving production, from facility-to-facility, potentially in-sourcing over the midterm and longer term, and then also designing around where we can to avoid tariffs. So there's a large cross-functional global team working on the specific actions that we can take to offset these tariffs here in 2025, and regain the $40 million worth of COGS impact. So when you think about your question specifically, okay, you understand the impact. We've stood up a team. We're taking action, half of it's in price, half of it is in sourcing. I think, it's important for - a couple of other points I would make. When you think about our China sourcing, there is good concentration of commodities and suppliers. So it gives us confidence we can go in and work with a distinct set of commodities, as well as suppliers. And just to punctuate the point, we're talking about a little over 100 different suppliers, but 80% of the, spend is in around - with about 40 suppliers. So good concentration in terms of getting in front of people and taking action and making decisions. About 60% of that China spend is consolidated or concentrated in five specific product categories. So it allows us to really focus our efforts on specific product commodities, components as well as supply base. So it gives us a bit of confidence that we can get started and move the needle here in 2025, and offset the tariff impact. The other point I would make, and I assume would come up this question is our competition has also moved on price in this geography in North America, so that our price positioning is intact from a competitive perspective. And order of magnitude, they've moved at similar ranges. And so, I think that those factors embolden our confidence, although it's certainly, no - it's no sure thing and a lot of uncertainty in our assumptions, I think it gives us confidence that the actions we can take from a mitigation perspective will allow us to put us in a position to offset the tariff impact. And I also want to highlight, not only did we have a strong order book coming through the first quarter, but we are very close to our customers. And we got - we see no signals other than a few distinct countries like Mexico, like China, a little bit in Australia. We see no signs or signals from the business of weakening demand. Customers are moving forward with major deployments. Customers are moving forward with projects. We're having success selling in new products that we're launching. So we're watching closely, and I'm asking almost on a daily basis, are any customers changing their buying behavior, because of all of this tariff talk. And in our business, we just haven't seen the negative demand signals yet. If we were to begin to see those, we would have to adjust course and take appropriate action. But what we don't want to do is create our own downturn by starting to pull back on growing the business when our core business and the core demand signals are strong.
Steve Ferazani: Extremely, extremely helpful, Dave. If I could just get one follow-up on that. Once you announced the price hikes, did you see - typically would see an influx in orders and demand. Did you see that in April once you announced it and before the hike took effect?
David Huml: Yes. It's too early to tell because we're also returning to normal seasonality, and our Q2 is typically a larger quarter for us. So it's too early to tell. Anecdotally, the people that are really in a position to buy ahead, to avoid a price increase are our distributors. And our distributors, they have to decide if they want to put the working capital into growing their inventory at a lower price, if that makes sense to them. And they typically wouldn't bulk up with like a year's worth of supply or anything. They might buy ahead by a few months. Key customers, if they were moving towards a purchase decision in the next month, you might be able to push them over the edge if you're talking to them saying, hi, a price increase is coming, but on whole, it has not historically been a huge driver of sort of buy ahead on price. Having said that, midyear price increases in the 7% to 10% range are a new phenomenon for us. And so we're -- like I said, we're staying close to customers to understand how they're thinking about tariffs, how they're thinking about their own business, how they're viewing the investment in partnership with Tennant, and what the impact is on their potential buying behavior.
Steve Ferazani: Extremely helpful Dave. Thank you so much. I'll turn over.
David Huml: All right, Steve.
Operator: And our next question comes from the line of Aaron Reed with Northcoast Research. Aaron, please go ahead.
Aaron Reed: Hi, thanks for taking my call. So at the end of the day, kind of my takeaway from this is, and I've always looked at this as a somewhat lumpy business. So this is almost just kind of par for the course, especially since you're really just reaffirming guidance. Is that a fair way of looking at it?
David Huml: Well, I'm not exactly sure what you - I'm not sure what you mean by lumpy business, but let me sort of talk about what's implied in our guidance. And I'll anchor back. There's a significant amount of uncertainty, and assumptions we've made in how we're going to offset the tariff impact and the demand will hold going forward. We expect and we are returning to normal seasonality and normal seasonality in our business, Aaron, I know you're newer to the story, so let me just take a step back. Typically, quarters two and four are our larger quarters and quarters one and three are our lighter quarters, both from a demand perspective. And there's multiple reasons for that, mostly driven by our vertical market exposure and buying trends and behaviors within the vertical markets we serve in each of the quarters. Our business has certainly been lumpier than normal in -- over the past several years, because we've been managing through supply chain challenges, and shipping down over $300 million worth of backlog, we generated through the supply chain challenges after the pandemic. So that has caused a certain amount of lumpiness. And the other -- I'm using your word lumpiness. The other thing that drives lumpiness for us within a given period, and I view this as a long-term positive, we are consistently winning, and we're very fortunate and grateful. We're consistently winning business with the world's largest accounts, and they tend to swing big orders in a big way and has a material impact on our quarter. We talked about the margin impact in Q1, from our shipments to strategic accounts, and big project wins. That's an example of kind of a positive sign for the business, but it creates lumpiness within a given quarter.
Aaron Reed: Okay. That makes sense. I appreciate that. And then this kind of leaning to not necessarily, but more of the seasonality to it as well. One thing I want to learn a little bit more about is that the Clean 360 program, and it sounds like you're leaning into that. Is that something to where you are coming out with that because it's a way that you think it would be an additional way to drive sales and further accelerate the AMR side of the business? Or did that come from customers really asking that? I'm kind of just figuring out where did that come from? Where is the impetus of that? And how exactly is that going to be levered going forward?
David Huml: Yes. Thanks for the question. Excited to talk about Clean 360. And the answer to your question is both. We generated as a growth idea in our business model to drive accelerated adoption of robotics. And also, we were listening to customers. And as we listen, to customers that were interested in robotics, and maybe on the fence or contemplating a purchase, one of the challenges they brought up was, hi, your AMR products are great. They have a high sticker price. And so it's a significant CapEx, and we want to be comfortable that we can get the return on the investment by adopting robotics once we move into it. So we're really excited about offering this all-in bundle, for one monthly price with a 90% uptime guarantee, because what it says to the customer, listen, you're going to have controllable costs, one monthly low price. The monthly bundle includes the equipment, the service contracts, the navigation software subscription. So you have a known cost to operate. And because of our broad service coverage and service capability, we're able to guarantee uptime, which says Mr. Customer, when you want to use the robot, we can guarantee it's going to be available to use. In other words, we can ensure you you're going to achieve your ROI. I think it's really a fantastic program. It gives our selling organization something different to talk about when a customer is interested in robotics. And if they have a little bit of sticker shock over the CapEx price, we can talk about leasing. We can talk about a Clean 360 program. I think it's generating a lot of interest. So today, it's available on the T16AMR, which is our industrial-focused robotic scrubber. It's generating a lot of excitement with our selling organization. I think it will be a significant part of the winning combination, for AMR adoption here in North America.
Aaron Reed: And I guess the last question on the Clean 360 part of it is, especially with price hikes coming and a lot of people going through the natural life cycle of their equipment. Is there a chance that this could actually meaningfully accelerate, the AMR adoption even faster than initially anticipated? Someone looking and say, hi look, I have to buy another large machine, or I can now break this into monthly payments, and actually get a better quality product, or something that's going to really reduce labor. Is there a chance that this could accelerate the AMR adoption beyond what you initially thought possible, what it looked like last year?
David Huml: Yes. Listen, that's what we're hoping for. We signed on to achieving $100 million in revenue from AMR by 2017. It would be great to beat that by a year or two. And again, I don't think Clean 360, is a silver bullet for every customer. But I think for customers that are having a challenge with the sticker price of a capital purchase, this gives them a really attractive alternative that gives them controllable costs, guaranteed uptime and a consistent ROI on the investment. So I think it's - I do think it has the potential. We'll have to see how it's adopted. Early returns are good. We've already booked orders on the Clean 360 offering. And so, we'll pace it throughout this year. And if it looks to be a significant mover in driving adoption, then we'll have to bake it into our forward-looking projection. But I'm really excited, and I want to give kudos to the team. We have historically been an equipment company. We've built great equipment. We service the equipment really well. Now we're leaning into the business model that really solves -- helps solve one of the challenges for our customers. And so I really think the combination of the market-leading AMR robot along with our market-leading aftermarket service. Our partnership with Brain on the navigation software side, and now unique selling propositions like Clean 360, I think we've got a really attractive value prop when we stand in front of a customer and more tools in the tool bag, to go drive adoption of robotics.
Aaron Reed: Okay. That's helpful. Thank you.
David Huml: Thank you, Aaron.
Operator: Thank you, Aaron. And that does conclude our question-and-answer session today. No further questions at this time. So I would like to turn the call over to management for closing remarks.
David Huml: Thank you, and thank you all for your participation today on the call, and your interest in Tennant Company. This concludes our earnings call. Have a great day.
Operator: Thank you for joining folks. You may now disconnect.